Operator: Good morning, and welcome to the Primerica First Quarter 2015 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, that this event is being recorded. I would now like to turn the conference over to Kathryn Kieser, Executive Vice President of Investor Relations. Please go ahead.
Kathryn Kieser: Thank you, Robert. Good morning everyone. Thank you for joining us today as we discuss Primerica’s results for the first quarter of 2015. Yesterday afternoon, we issued our press release reporting financial results for the quarter ended March 31, 2015. A copy of the press release is available in the Investor Relations section of our website at investors.primerica.com. With us on the call this morning are Glenn Williams, our Chief Executive Officer; and Allison Rand, our Chief Financial Officer. We reference certain non-GAAP financial measures in our press release and on this call. These non-GAAP measures are provided because management uses them in making financial, operating and planning decisions, and in evaluating the company’s performance. We believe these measures will assist you in assessing the company’s underlying performance for the periods being reported. These non-GAAP measures have limitations and reconciliations between non-GAAP and GAAP financial measures are attached to our press release. You can see that our GAAP financial results on page three of the presentation. On today’s call, we will make forward-looking statements in accordance with the Safe Harbor provision of the Securities Litigation Reform Act of 1995. Forward-looking statements include any statements that may project, indicate or imply future results, events, performance or achievements, and may contain words such as expect, intend, plan, anticipate, estimate, and believe, or similar words derived from those words. They are not guarantees and such statements involve risks and uncertainties that could cause actual results to differ materially from these statements. For a discussion of these risks, please see the risk factors contained in our Form 10-K for the year ended December 31, 2014. This morning’s call is being recorded and webcast live on the Internet. The webcast and corresponding slides will be available on the Investor Relations section of our website for at least 30 days after the presentation. After the prepared remarks, we will open the call to questions from our dial-in participants. Now, I’ll turn the call over to Glenn.
Glenn Williams: Thanks, Kathryn. Good morning everyone. After 34 years with the company, I’m honored to be leading my first earnings call as the CEO of Primerica. Our leadership transition plan has been executed with great success and I’m fortunate to have a talented team of executives working all inside me. Peter Snider a 15-year veteran of the company is stepped into the President’s position. Alison Rand, who served as the company’s Chief Financial Officer since 2000 continues in that important role. Greg Pitts, Member of the Primerica team for 30 years will continue as our Chief Operating Officer. I believe this executive team along with the other talented sales force and home office leaders positions us for continued growth and success. Today, I’ll discuss our first quarter performance and distribution results, as well as provide our perspective on the Department of Labors' that do share rule proposal. Beginning on page three, you can see that during the first quarter of 2015, compared to the first quarter of 2014, our operating revenues increased 6% driven by strong product performance, including the 11% growth in term life adjusted direct premiums, as well as the 7% increase in total investment in savings product sales and 8% growth in average client asset values. While revenue drivers were strong in the quarter, net operating income declined 2% from the year ago period primarily due to the timing of expense recognition in the first quarter for employee equity awards granted to retirement eligible employees in 2015. Net operating income for diluted share increased 3% to $0.80 and operating ROAE was 14.6% in the first quarter of 2015, partially reflecting our ongoing share repurchase activity. Adjusting for the accelerated equity compensation expense, operating EPS would have been higher by $0.07 and ROAE remained on track to be in expected 16% range for the year. During the first quarter, we repurchased approximately $39 million or 740,000 shares of Primerica’s outstanding common stock consistent with our previously announced 2015 stock repurchase program. We remain committed to the execution of our multiyear capital strategy to return approximately a $150 million of capital in addition to stockholder dividends to shareholders annually through 2016. In the first quarter of 2015, we carefully executed our transition plan to build on fourth quarter momentum and accelerate growth during our leadership change. Our extensive plan included timely and effective communications to all of our constitutions including in-person meetings with a significant number of our sales force leaders. We began the year with a meeting here in Atlanta attended by over 300 of our most senior sales leaders, where I walked them through the transition plan and launched the 2015 initiatives. This meeting culminated with a live webcast to nearly 4,000 sites viewed by significantly larger number of representatives across North America. I have been hit the road and hosted nine regional meetings that were attended by 7,500 representatives across the U.S. and Canada and I interacted with over 1,500 top producing reps at our Puerto Rico incentive trip in February. The business enhancements and incentives we launched at this events generated a high level of excitement and focused our sales force leaders on building and growing the business in 2015. As we turn to distribution and production results, we’re pleased with year-over-year growth in every area with double-digit growth in recruiting new representatives and life insurance policies issued. On page four, you can see the size of our life licensed sales force increase 3% to 98,145 representatives and recruiting of new representatives was up 10% versus the prior year period. The year-over-year recruiting growth reflects continued momentum in 2015 as well as a relatively weaker first quarter of 2014. In the first quarter of 2015, we ran a very effective recruiting promotion in Canada. We believe the elevated recruiting levels in the first quarter will result in a larger Canadian sales force by the end of 2015, considering the longer licensing process in Canada. Companywide, the first quarter percentage of non-renewals and terminations slightly improved year-over-year and we continue to expect this ratio to be in the 8% range near term. On a sequential basis and in line with the expected seasonality of our business, recruiting of new representatives increased and the number of new representatives obtaining a life license declined. As we indicated last quarter, the size of the sales force remain relatively flat with the fourth quarter due to the seasonally lower new life insurance licenses following the lower recruiting levels typical of fourth quarter. Long term, we continue to believe we can grow the size of the sales force in the mid-single digit range on an annualized basis. We expect the size of our sales force to modestly increase at the end of the second quarter. Now turning to production results on page five. Term Life issued policies grew 13%, compared with a prior year quarter driven by continued momentum and supported by strong recruiting and sales force initiatives in the first quarter. Productivity of 0.19 policies issued for life license representative per month increase from 0.17 in the quarter a year ago, which was impacted by severe weather and remained consistent with a strong fourth quarter of 2014 results. Our average annualized premium per issued policy of $811 was consistent with year-ago period and slightly lower than the fourth quarter of 2014. On a sequential quarter basis, Term Life policies issued were 2% lower than the fourth quarter, largely reflecting fewer new life insurance application submitted during the typically slower holiday season at year end. Our investment and savings product sales increased 7% to $1.5 billion, driven by strong sales of U.S. retail mutual funds and variable annuities and Canadian segregated funds in the first quarter versus the prior year quarter. During the quarter, U.S. retail mutual funds and variable annuity sales increased 13% and 9% respectively from the prior year period reflecting continued momentum driven by product additions, marketing efforts and market performance. Year-over-year our Canadian IST business experienced a shift to segregated funds which were up 49% from Canadian retail mutual funds which declined 15%. This year related to recent product additions and enhancements as well as market performance. Investment in savings products net flows were positive $269 million in the first quarter and ending client asset values were $49.2 billion, up 7% for March 31, 2014. Sequentially, investment in saving products sales increased 4% from the strong fourth quarter performance of 2014. Growth in retail mutual fund and Canadian segregated funds sales reflect typically higher retirement savings sales in the first quarter during the retirement plans season. Sales of variable annuities declined 16% from the strong level in the fourth quarter. The slight increase in total client asset values from year end 2014 reflects market performance and positive net flows partially offset by the lower value of the Canadian dollar relative to the U.S. dollar. As we head into the second half of the year, we’re working on initiatives and business enhancements to drive organic growth including product enhancements and incentive programs, sales force support and cutting edge technology. At our biannual convention in July, we’ve launched improvements to our life insurance business including product enhancements and additional support for our top life insurance producers. In our investment and savings business, we’ll expand our product providers and deliver strong messaging on growing the number of mutual license representatives. It’s part of our continued effort to attract millennials. We’ll add more capability to recently launch mobile sales tools and training. This initiative includes a new Primerica app that will provide sales tools, a client relation management system, production tracking, context standings and instant communication capabilities. We’re pleased with the organic growth we’ve achieved in the last two quarters and are encouraged by the activity levels we saw in April. We’re hopeful this activity will carry through the reminder of the second quarter. So, post convention, we can build on the solid momentum in the first half of 2015. Let me conclude my remarks today by discussing our perspective on the DULs fiduciary rule proposal. Like many of the financial services firms across the industry, we’re undergoing a disciplined process to carefully review and evaluate the lengthy document to understand the potential implications. The DUL’s intention for the new proposed rule unlike the original rule proposal is to preserve common forms of compensation to broker dealers and the new prohibitive transaction exemptions are added expressly for that purpose. We continue to analyze these exemptions to determine whether they’re workable as written. Our preliminary assessment is that there are structural and procedural changes we could make to adjust the rule that we’ll over the long term preserve our strong performance. However, we believe modifications to the proposed rule or necessary to fulfill the DOL stated purpose of protecting rather than harming middle income family saving for retirement. Our priority is to act in the best interest of our clients. We take an educational approach and offer main street families that help they need to make prudent financial decisions including obtaining the proper life insurance protection and beginning to systematically save for retirement and other goals. Our core competency is leading one of the largest life insurance and mutual fund license sales forces in North America. We’ve demonstrated the flexibility to adopt regulatory changes in the past and have robust compliance and supervision procedures already in place. We expect to play an active role in the rule making process and to work with other industry stakeholders, trade associations and public officials to ensure the final rule which is the DOL stated objectives. The DOL as indicated its intent to provide a flexible approach that accommodates a wide range of current business practices while minimizing the impact of conflict of interest and ensuring the IRA owners receive investment recommendations that are in their best interest. We’re hopeful the DOL will work with the industry to achieve this goal so that hard working middle income families can continue to receive the assistance they need to plan for their retirement. With that, let me turn the call over to Allison to discuss financial results.
Alison Rand: Thank you, Glenn and good morning, everyone. My comments today will cover the earnings results for each of our segments including a review of expanded ISP business metrics provided in light of the DOL fiduciary rule proposals. My discussion will conclude with a companywide review of insurance and operating expenses and invested assets. Starting with Term Life on slide six. Year-over-year, operating revenues were 8%. Key driver was the 11% increase in adjusted direct premiums reflecting 20% growth in primary direct premium partially offset by a 4% decline in legacy direct premium. Other ceded premiums increased faster than adjusted direct premiums, resulting in a 9.2% increase in net premiums. For analytical purposes, we treat other ceded premiums as a component of benefits and claims and changes in the growth patterns are typically offset by corresponding change in reserves, with little impact to profit margins. While the percentage of our invested assets allocated to Term Life continue to grow and the associated increase in allocated net investment income was largely offset by a lower assistive portfolio yield. During the quarter, benefits and claims, net of other ceded premiums increased as a percentage of adjusted direct premiums to 59.5% as growth in reserves from improved persistency year-over-year is partially offset by incurred claims that was slightly below historical levels. DAC amortization and insurance commissions as a percentage of adjusted direct premiums of 15% was lower than the prior year period due to strong persistency in the first quarter of 2015. The ratio of insurance expenses to adjusted direct premiums increased to 10.9% in the first quarter from 9.1% in the prior year, largely driven by higher employee related expenses year-over-year, including the accelerated expense recognition for retirement vesting provisions in employee equity awards. I will provide more details on this when I cover overall insurance and other operating expenses later in my remarks. Overall, solid revenue trends and lower DAC amortization in the quarter were offset by the expected first quarter spike and employee-related expenses and continued pressure from the low interest rate environment. As a result, Term Life operating income before income taxes increased 1% over the prior year period and income before income taxes as a percentage of adjusted direct premiums declined to 20.1% from 22% in the year ago period. On a sequential quarter basis, our Term Life operating revenues remained consistent. Operating income before income taxes declined 9% primarily due to higher employee-related expenses and lower net investment incomes from fewer calls income securities compared with the fourth quarter. These items were partially offset by strong persistency in the first quarter compared to the seasonally weaker fourth quarter persistency, as well as prior period revisions to reserve assumptions on certain supplemental policy benefits. Moving now to our investment savings product segment. On slide seven, you will see our ISP operating revenue grew 5% year-over-year. Overall ISP product sales grew 7% year-over-year plus sales-based revenue generating sales grew 5%, consistent with the 4% growth in sales-based revenue. The ratio of sales-based net revenue as a percentage of revenue generating sales of 1.32% was well within the recent historical range of 1.27% to 1.4%. Variability within the range is generally caused by fluctuations in sales mix. In the first quarter of 2015, asset based revenue grew 6%, slightly slower than the 8% growth in average client asset value year-over-year. The difference in growth rate is largely due to the decline in Canadian segregated funds, average client asset values, which have a higher rate of asset-based revenue since our new sales-based revenue component for this product. In certain asset-based expenses such as insurance commissions and DAC amortization for segregated funds are shown separately in the financial statements from asset-based commission expenses. The best way to compare asset-based expense growth to revenue growth is by using the asset-based net revenue ratio included in the financial supplements. For the quarter, asset base net revenue as a percentage of average grain asset value was 0.053% consistent with the historical level. Account-based revenues grew 8% year-over-year and account-based net revenue for fee generating account increase $2.52 in the prior year to $2.70. Largely reflecting growth in manage accounts and retail mutual funds accounts, for which we earn record keeping fees. A large, but shrinking portion of our revenue generating account do not earn the full array of record keeping fee. Strong market performance in the first quarter led to a deceleration of Canadian segregated fund back amortization from the year ago period and other operating expenses were higher largely due to employee related expenses that I will discuss shortly. In total, operating income before income taxes increased 3% year-over-year. On a sequential quarter basis, ISP operating revenue decreased 2% largely reflecting lower sales base revenue. Our total product sales grew 4%, much of the growth was in Canadian segregated funds that do not provide sales base revenue. This combined with a mix shift away from variable annuity sales, which were very strong in the fourth quarter to U.S. neutral funds, led to the sequential quarter decline. Asset base revenues were flat in line with the modest 1% growth in average client asset value. Canadian segregated funds amortization was slightly lower than the fourth quarter due to market performance. The sequential quarter increase in other operating expenses was largely employee related and will be discussed later in the call. Given leasing questions stemming from the DLO is proposed fiduciary rule. Let me spend a few minutes discussing new metric and geographic breakouts we’ve added to the ISP section of our financial supplement, as well as a percentage of sales and client asset values for 2014 in U.S. qualified retirement plans. The calculation that asset-based net revenues and account-based net revenues has been revised to include certain keys that are categorized as other operating expenses, similar to commissions are highly variable. We have added a breakout of other operating expenses to show first is at vary with average current asset values for advisory services on managed accounts and administration of Canadian segregated funds products. And second fees that vary with revenue generating accounts for the administration of client accounts on our record keeping platform. We believe these revised metrics provide enhanced clarity on the variability of earnings in relation to average client asset values and accounts and combined with sales base net revenue metric, we continue to provide in the supplement are useful tools in analyzing the business. We have also added country level breakouts for sales, average client asset values and the corresponding net revenue metrics. Note that account base information is provided for the U.S. only as we did not have account-based earnings in Canada. Turning to slide eight, we have provided the breakout of our 2014 sales and average claim asset values between geographic region and qualified retirement versus non-qualified plan. 60% of those are revenue generating sales and average claim asset values in 2014 were attributable to U.S. qualified retirement plans. We do not believe that sales base and asset base net revenue percentages for the U.S. of 1.41% and 0.15% respectively vary significantly between qualified and non-qualified plans. While there still is a lot of uncertainty about the proposed rule, to the extent, new investment advice is not being provided existing client asset values and earnings there on maybe largely unaffected given the rules, transition, provisions, and other language. With regard to U.S. qualified retirement plan sales, it is important to remember that the DOL stated intention is to preserve common forms of compensation, consistent with those we receive. Note that roughly 10% to 15% of our U.S. qualified retirement plan sales in 2014 were investments made by existing clients, systematically saving for retirement through automatic monthly saving plans based on previously given advice. It is likely that sales such as these will fall under the transition provisions and other language in the rule, and therefore, will not be impacted. With regard to acquiring new clients or providing new advice to existing clients, to the extent necessary based on whether we’ll ultimately land, we will explore structural or procedural adjustments to our business to minimize any long-term impact on sales and financial results. Moving to the Corporate and Other Distributed Products segment, on slide nine, you can see that operating revenues declined $1.4 million from the prior year period, primarily due to a $1 million decline in allocated net investment income from higher Term Life allocations, ongoing capital deployment and a lower portfolio yield. This decline combined with a $1 increase in insurance and operating expenses, resulted in a $2.7 million increase in operating loss before the income taxes. In our New York subsidiary, benefits and claims slightly increased primarily reflecting favorable claims experience in the year ago quarter. Slide 10 provides a more detailed review of insurance and operating expenses. You see that year-over-year, operating expenses grew by approximately $10 million to $79.3 million in the first quarter of 2015. $6.1 million of this increase related to the accelerated expense recognition on the grant date of management equity awards granted to retirement eligible employees in February of 2015. Management equity awards granted in February of 2014 did not have a similar accelerated recognition of expense, as those awards did not contain a retirement eligibility provisions until modifications were made to include such a provision in the third quarter of 2014. The grant date fair value of the management equity awards issued in 2015 was consistent with the total grant date fair value of the management equity awards granted in February 2014. As such, the impact of the retirement eligibility provision included in equity awards granted to management primarily affects the timing of expense recognition and not the total amount of expense to be recognized. Expenses also increased $1.6 million for premium and growth related expenses related to growth in our Term Life and ISP segment. Finally, year-over-year cost of living adjustments to salaries and related items led to the bulk of the remaining $2.3 million increase. Compared to the fourth quarter of 2014, expenses increased by $10.2 million primarily due to employee related costs, including payroll taxes and employee benefit costs that taper off later in the year. The cost of living adjustment to salaries and the accelerated expense recognition from the first quarter equity award grant to retirement eligible employees. Looking forward, we expect our second quarter insurance and other operating expenses to decrease by between $5 million to $7 million primarily reflecting the absence of the equity award expense for the retirement eligible equity awards we announced in the first quarter. Turning to slide 11, our investments in cash of $2.06 billion as of March 31, 2015 compared with $2.04 billion as of December 31, 2014 excluding the held-to-maturity asset held as a part of our redundant reserve financing transactions. The invested asset portfolio had a net unrealized gain of $103 million, net of unrealized losses of $19.5 million at March 31, 2015 up from $101.3 million at December 31, 2014. The average credit rating of our fixed income portfolio, continues to be single A and 94% of the portfolio was weighted in investment grade. The average book yield of investments and excluding cash at quarter end was 4.53% down slightly from 4.61% at year-end. A new money way on our purchases for the quarter was 2.47% down from 3.04% in the fourth quarter, reflecting generally lower market rates in the prior quarters and a higher proportion of purchases in our holding company, which typically invest in shorter duration assets. We continue to expect downward pressure on investment income going forward, given the low rate environment and our plans to continue direct turn capital to shareholders. The Canadian exchange rate continue to the a modest headwind the first quarter. The Canadian dollar dropped 11% on average versus the U.S. dollar in the prior year average and impacted pre-tax earnings by approximately $2 million. Liquidity profile of our holding company continues to be very strong. At the March 31, 2015, the holding company had invested assets and cash of $154.7 million down from $194.5 million at year-end 2014, primarily as a result of the $38.7 million worth of shares repurchased during the period. While our general expectation is to return capital to shareholders ratably throughout the year, the pace at which we will move capital from Primerica Life to the holding company will be governed by our ordinary dividend capacity pursuant to Massachusetts statue. Primerica Life Insurance Company’s estimated statutory risk-based capital ratio was estimated to be an excess of 380% at the end of the first quarter. Although we expect the estimated ratio to increase during the second quarter and remain above 400% for the remainder of the year. With that, I’ll turn it back over to Glenn.
Glenn Williams: Thanks, Alison. In the first quarter, we effectively executed a leadership transition plan that built on the momentum in the fourth quarter to drive year-over-year growth and sales and distribution, as well as solid financial performance. As we head into the second half of 2015, we’re developing enhancements to our business opportunity, product portfolio and client experience. Our focus is on driving organic earnings growth and providing meaningful long-term shareholder value. Now, we’ll open it up for questions and answers.
Operator: [Operator Instructions] The first question comes from Dan Bergman of UBS. Go ahead.
Dan Bergman: Hi. Good morning.
Glenn Williams: Hi. Good morning, Dan.
Dan Bergman: You mention that if the Department of Labor rules were enacted that Primerica would expect to undertake structural and procedural changes to preserve long-term performance. I was hoping you could give a little more color on what those changes might be. And is it fair assume based on your comment that near or medium performance could be negatively impacted by the rules and if so how should we think about that potential pressure? I guess big picture, I’m just trying to a sense of how we should try to size the risk to current revenues and the potential for increased expenses? Thanks.
Glenn Williams: Yeah. Dan, that’s a great question and a pretty obvious one. We’ve tried to provide you with the additional information that Alison covered to give you a better understanding of what the revenues are and where they come from. And we’re relying on the DOL stated intension to preserve the common forms of compensation consistent with those we receive and based on where the rule ultimately lands we’re going to explore those adjustments that you talk about. The challenge is that the – what the DOL states and has stated and what the rule actually contains have some disconnects that we’re going through the evaluation process or trying to reconcile those right now. And so, as we go through that exercise obviously using internal and external resources to help us, it’s a little difficult to draw the level of detail that you just asked for, the short-term and long-term. So, that’s what we’re working through right now. We try to relate to you kind of our early indications, our early feelings that over the long-term there’s some possibilities that we could pursue. There are specifics that we’ve discussed in the past for example we have 2,600 Series 65 licenses in our sales force already and that was originally a business that we added kind of as an offensive approach to expand our business to a higher income edge of the middle market. But at the same time, as we look forward under a fiduciary rule that could become a more important part of our business. They are already responsible – that group of leaders is responsible for a tremendous amount of our business, already 40% of our U.S. sales come from that 2,600 Series 65 license, subset of our sales force. And so, it’s already an important part of what we do, could become a more important part of what we do. That could be one of the structural adjustments that we make is to put more emphasis on that business, since it already lives in the [indiscernible] world. So, those are some of the things that we are taking a look at to determine, what could we do over the long-term. Fortunately, there is some time to manage the reaction to the rule, provide input on the rule, so that ultimately we believe that needs to become a better rule as we’ve stated, and then have time to implement before the rule becomes effective. So, there’s not a lot of clarity there, but hopefully that gives you just a little bit more.
Dan Bergman: That’s helpful. Thanks. Maybe just a follow-up. I appreciate all the color on kind of some of the different revenue sources. Maybe you could also talk a little bit on the expense side. Is there any sense you can gave on, what you might need to do from a compliance standpoint that to meet the proposal rule. I mean, my sense is there is a view in the market that industry-wide compliance cost. It could be meaningful. So, any color on the potential impact on your business, for example, whether you need to add new staff, anyway to think about those potential incremental costs would be very helpful.
Glenn Williams: Okay. Glad to do that. When I think of compliance, I actually think of it in several buckets. One is supervision of the sales force obviously, we have a tremendously robust compliant structure in place today to deal with that, and I don’t think we’re anticipating that there is a lot of change on that front. The other definitions of compliance would be client communication and point of sale, were to stay in compliance with the new regulations we have to communicate with our clients differently either annually or at the time of sale. And those are the areas, where we already, all of our IR rate holders today, we provide an annual statement for, if they’re on our platform, and so, we may have to change the content. So that statement in order to have the disclosures, that didn’t sound like a major change – at the point of sale, you’ve got some requirements in the current version of the rule, that would require some changes to what we deliver to client at the point-of-sale. And those are the things, that I think will be part of the discussion in the comments, on how doable is what the – DOL proposed rule has asked for, is that information readily available. We obviously do some disclosure at the point-of-sale, but that might the area, where there would be the most significant change in my opinion and in my understanding of the proposed rule. But as I see that, since we are already doing a number of those things, it’s an adjustment to what we’re already doing rather than having to create an entirely new procedure. So, it – hopefully that helps to give you some color around whether that’s significant or not.
Dan Bergman: Okay. Thanks. I’ll get back in the queue.
Glenn Williams: Okay. Thanks.
Operator: The next question comes from Steven Schwartz of Raymond James and Associates. Go ahead.
Steven Schwartz: Hey, everybody this is just going to go on and on and on. I am afraid, on the DOL. How many people currently do you have in your compliance department, Glenn? There is a rumor on the Street it’s only about 20 – I really don’t know if that’s enough, but it doesn’t sound like enough.
Glenn Williams: Oh my god.
Alison Rand: Now, it certainly – we now offered that we offered a chuckling our each other, because we have, I think anybody on marketing department would argue that they are completely outnumbered. And there is probably around 200 or so people, especially when you consider the fact that some of it happens to things like field audit. So, we have folks throughout the country and Canada that, their entire job is to basically get in people’s offices and check how procedures are being handled et cetera. So, we actually have a very robust group of folks that cover that aspects. I don’t know where the 25 came from, but it is not accurate.
Glenn Williams: Yeah.
Steven Schwartz: Okay. So, it’s .... I’m sorry, go ahead. Okay, great. And then, I guess you referenced the 2,600 people who have Series 65 licenses. Is that a worst case that just everybody, the 22,000 people or remaining are in the U.S. I guess, are those 22,000 people have to – just have to start selling, as they were RIAs?
Alison Rand: Yeah. Let me give you some of the numbers in the background, so, you kind of understand how that 2,600 fits in. In the U.S., we have 16,900 mutual fund licensed reps of which that 2,600 you add to that number, okay. I’m sorry, that number is a subset of the 69. So, about 15% of our total U.S. sales force for securities is Series 65 or maybe [indiscernible] fit, because in some stage, that require Series 65 license. So, we call them fit. And so, it’s a pretty significant part of our U.S. sales force, that means our Canadian sales force is about 5,700 that has to mutual fund license. So, that’s the breakdown, which might be helpful for you in understanding that. That 15% as I said is, they’re a significant players, they provide about 40% of our total U.S. sales. So, to go directly to your question, as I said earlier, we entered that business as an offensive strategy to capture a piece of our market that we were not in and we believe we’ve been successful at it. But it’s also helped us understand both that market a little better but more importantly to your question the licensing process a little better. And so there is clearly more room to get more of our people Series 65 license for managed accounts fit just, by the general nature of our ongoing business to maximize that opportunity but also as a defensive strategy as you indicate that’s one of the levers we could pull. And I think that will be something that’s consistent with our overall business strategy, so it’s not an outlier at all. I think the challenge with that is really – I think bigger for the consumer than it is Primerica because that is a business with a fairly high minimum account size 25,000 even some of the most aggressive companies down to 10,000 maybe or even five, but there is no room for the middle income client, the main street client who’s got $50 a month to invest. So while we’re viewing that as a potential lever that we could pull to change our business and adjust into the rule, at the same time our commentary to the DOL is going to include how it disaffects the middle income marketplace. And the DOL has stated again as I said there was a disconnect between what they said in the specifics of the rule but we believe here in the coming period we can move those two closer together. That’s our attempt. And so there’s a consumer message here as well. So I think, that’s one of the levers, I don’t think that’s the only thing that we could if absolutely nothing changed to rule as it is today, but it’s clearly one of the plays that we’ll call as needed.
Steven Schwartz: Okay. Raymond James of course, increases here but the small accounts and the issues with regards to fees versus commissions. I just want to follow up on this one more time. In such a world again, looking at a worst case, realizing that you think that there are other things you can do, but looking at this as a worst case scenario that somehow or other maybe it’s spot lighters, who are now going to be involved in this for the first time ever maybe force you to move to a RIA type of selling the process. Does that negatively affect recruiting or licensing? My thought here is if somebody can get upfront commission and the type of people you’re recruiting in your clients. That’s important. If they’re only going to get a percentage of that upfront maybe they’re less interested?
Glenn Williams: Yeah. That’s a great question. So, let’s go back and talk about, how our people entered the business and remember that generally a recruit sees the Primerica opportunity first as a life insurance opportunity. And that’s appropriate, because our life insurance commissions are advanced. The insurance business has more upfront cash flow. It’s a much better way to establish and start the business and start to create some upfront cash flow. Our recruits don’t traditionally come to Primerica and say, what I see there is an opportunity to get in the investment business and build a block of assets to that creates a stream of income for me and my family over the long-term. Even, if it does have some upfront sales compensation in it in the current model, that is generally not what’s out there at the front-end of our recruiting message. The vast majority of people including all of that 2,600 who today are managed account fit group entered the business, the way I just described. And so, we still have a very effective and attractive front-end recruiting model for our business overall. The question is, as after people enter the business that way, will the path they take to go through that get into the investment business change as a result of the DOL rule. So, I don’t think it’s a front-end impact as much as it is a process a year or two or three. Generally, we say that it takes – the normal recruiting is going to be about two years before they get into the investment business. And so during that time based on what happens on the DOL rule, we may have a different path for them in the future than we have for them today, but I don’t think it really impacts the front end message of our business.
Steven Schwartz: Okay. Thank you. I’ll hop back in line and I don’t want to monopolies.
Operator: The next question comes from Mark Hughes of SunTrust. Go ahead.
Mark Hughes: Thank you. On that same topic the 17,000 and so mutual fund license reps, I assume most of those are they are serious, they are generating a pretty meaningful income from the securities. How many marginal producers are in that group that – if they had to get some more certification or take that the tests, how many of those they might be knocked off? What percentage of your sales force would be accounted by those folks who would be perhaps less willing to dedicate a little more time to meeting these new requirements?
Glenn Williams: Right. Well, first of all, even in today’s environment that’s group of 17,000 in the U.S. that’s a subset of our life insurance license sales force which is obviously much larger in the 1980s, has already been over a commitment hurdle that’s pretty significant. And they’ve been through a licensing process and they enjoyed the results of that licensing process if they are productive, and so they already are I believe a highly committed group of people. Now, remember though they’re not all personal producers, and so as people enter our business and becomes successful in building an organization, they generally migrate from personal production to leading a team. And so you got some set of that group that are minimal producers because they’re not active that’s the group that I think you ask about that perhaps, some of those people could fall by the ways that. You’ve got a group that doesn’t make personal sales, but they’re leading a team of big producers and they’re licensed and therefore earning quite a bit of income and that’s perhaps our most committed group of people, and they’ll do whatever it takes to make sure that they preserve their income and their business health. So, I would say that – compared to something that it would be closer to the front end of this business, this is a very committed group overall, they’re either actively personal producing or they’re overwriting an organization that is an either case their license is very important to them, and if the licensing requirement change they would be very motivated to move to the next level of licensing is necessary. And again, remember the DOL, what they said was that they wanted to preserve current business models. So, we really are talking about one of the worst case scenarios, if in spite of what they said about preserving current business models, the rules didn’t give a way to actually preserve it, and they rules were changed as a result of the common period, then these are some of the worst case scenarios. And we don’t believe at the movement, that you’re going need a Series 65 to comply, that’s not what’s indicated, and so that truly is kind of a something we hold out there and talk about in a worst case scenario, but that’s – we haven’t broken the glass and pulled the alarm on that, not yet.
Mark Hughes: Right. So, the worst case scenario is people who have already been very committed to the business maybe have to take an additional path, which is not ideal, but they still would be highly incented to a get those credentials?
Glenn Williams: Absolutely. Just like the 2,600 they did it because of the opportunity, you’d have a large block that would do it because as a defensive strategy and gain on opportunity at the same time. So, yeah that’s something that could happen, but we don’t believe at this point that’s going to be necessary.
Mark Hughes: Right. And maybe some additional forms, you’d have to take with you to your meetings...
Glenn Williams: Yeah, and that’s the point to say when we’ve had the compliance discussion, that is one of the things that we’re talking about, now as what does have to happen at the point of sale in order to comply with the disclosure and the probably comparisons and all of that, fortunately a lot of these things are not Primerica problems, they’re industry problems, and so the whole industry will react to this and work toward a solution, including product providers by the way. And so it’s not like we’re in isolation trying to figure out some of these industry-wide dynamics, there are a lot of folks, going to call us to do that and so there are lot of smart people working on that very issue at this point.
Mark Hughes: And do you already disclosed your compensation to consumers, do they know how much your reps are getting paid in terms of commissions?
Glenn Williams: No, in our commission-based thin regulated business we don’t disclose compensation to the representative there – in the perspectives of the product obviously, the cost of the product including commissions are disclosed, but we don’t do the calculation and say your representative just made this on that sale in that non-fiduciary business.
Mark Hughes: Right. The commissions at least are disclosed to the consumers on the mutual funds that they buy...
Glenn Williams: Right. Exactly.
Mark Hughes: The – and I don’t know if you touched on this, I jump on late, but the productivity of the sales force was up again in the quarter, what was that attributable to?
Glenn Williams: Yes. Thank you for asking question a non-DOL question by the way. Yes, we had a very strong quarter building on the momentum of the fourth quarter, we saw a significant momentum shift in the fourth quarter of last year and we continue to build on that momentum this quarter. The productivity returned to the middle of the range of historical productivity, which was something that we worked hard to achieve and want to continue that and even continue to grow it. What’s pretty amazing as we think about that we just executed a leadership transition and changed CEOs for the first time in 15 years and at the same time what we were doing that produced a quarter that was up and every single indicator on the production for and including recruiting, licensing, sales force, insurance and security. And, so we had a very positive response. Extremely pleased with the execution of our plan that we could actually build on the momentum while we were spending that play on a different stake at the same time. And so, we’re very encouraged by it and we believe that we can continue to sustain a good momentum. We did compare to a fairly week first quarter of last year in a few areas because of bad weather. But at the same time, we believe it is organic growth in the momentum and so were deplete with.
Mark Hughes: So, did you comment on give any body language on momentum so far in Q2?
Glenn Williams: I think I had a comment that we’d seen April – we’re pleased with April results and believe that we were optimistic at the moment. We’ll continue through the second quarter.
Mark Hughes: Thank you.
Operator: The next question comes from Colin Devine of Jefferies. Go ahead.
Glenn Williams: Hello, Colin.
Colin Devine: Good morning.
Glenn Williams: Good morning.
Colin Devine: A couple of questions. I will start with one non-deal because as you know it was actually quite a good quarter in terms of core trends. With respect to Canada, can you give us some sense of what happened to our [indiscernible] values and also sales year-over-year.
Alison Rand: Yeah, well you saw that even in U.S dollars, Canada was positive and so you got just a rough estimate of about 10% discount based on our 8% maybe since--
Glenn Williams: That 8%.
Alison Rand: 8% would be even 8 percentage points better in each sales category if you were in local currency. So we had a very strong first quarter in Canada and ISP sales, also in recruiting and life sales improved in Canada as well. So, the Canadians are ignoring what the U.S. dollar is doing and continuing to build momentum there. And so, we are very pleased with our Canadian results and sales in the first quarter.
Mark Hughes: Okay. I think going forward it might be helpful to start highlighting the impact on earnings some FX given kind of represented about 26%?
Alison Rand: I did actually said in my comment, I said it. On a pre-tax basis, it was only about $2 million.
Mark Hughes: Okay.
Alison Rand: So, I agree that if it got to be something much larger than that, it was something – be something we had focused on, but where that being on a net basis less than $2 million relatively speaking it’s not that impactful.
Mark Hughes: Yeah. Alison, I’m just be happy – it would be helpful to have it in the earnings release beyond just your comments. Okay. Why don’t we turn to the DLL? In China look at the potential impact of this, there is a couple of questions. In terms of your – I guess revenue sources, perhaps you can shed some light on, what Primerica is bringing in and I guess what the DLL’s referring to as sort of other fees, but whether those are marketing allowances, distribution allowances. I’d also like to table, if you’re paying any sort of incentive compensation based on the funds sold?
Glenn Williams: All right. Let’s start with the second question first. We absolutely do not pay incentive compensation on the funds sold. So, if you’re familiar with our compensation system Colin, we receive different amounts of compensation by product provider and that’s one of the questions is people consider concepts like legalized commissions. One of the first challenges is what we receive on sales differs by fund company or from one product to another. But what we push through our commission grade, the percentage of that – of what we received is exactly the same regardless of product. So, we don’t favor any product in our commission percentage, we don’t have a tearing of commissions or a favored home team or anything like that. So on that front, we’re already on the levelized basis. If it were...
Mark Hughes: Okay. Can we guess just for a second on that. So, what if I understand what you’re saying, and I think it’s important to declare for everybody on this call that at the producer level, you’re saying there in different to what fund family they’re selling. They’re not qualifying for trips or anything else by selling one family versus another, but what I don’t think you’re explicit on is in terms of the funds that Primerica focuses on – so let’s say the four of them. I think you did say that those funds do pay you a different level of fee. So, what’s really getting on your shelf is impacted by some of these fees that I think that you’ll starting to focus on. Is that fair?
Glenn Williams: So, let me answer part of it. I think your original question asked about revenues and expenses or compensation expense and Glenn would speaking to you specifically about compensation expense. And so, just to clarify or agree with what you said, it is in fact true that our agent – our U.S. mutual fund array of products. Our agents have no incentive per say to sell A versus B, because their compensation is a level percentage of the compensation or the fee that the client pays as a dealer reallowance. And any of our promotional program do not distinguish one mutual fund product from another. On the revenue side, understand also that we get paid dated amounts of commissions that are in their perspective that are not unique to us, they are really done throughout broker channels throughout the U.S. And when you look at them from one fund complex to another, they are very, very similar. And so there – while there might be a difference – a mild difference between an equity fund and a bond fund like a fixed income fund, generally speaking an equity fund from one fund complex and another gets charged – a client gets charged about the same fee. So what we get in is fairly consistent across all mutual fund complexes. With regard to things like revenue share and the other forms of compensation, one I would highlight that the DOL has not precluded those forms of compensation. And so, in and out themselves they are not problematic. And then while those are proprietary, so we do not share what we get with publicly. I can say that the relationships we have with all of our key mutual fund providers are fairly consistent with regard to profit sharing or other types of fee relationships.
Glenn Williams: Yeah, Colin. Let’s make sure we’re clear on that. So as Alison stated, we don’t have anything in our system whether it’s an incentive or a commission rate that would buy us our client from one product to another. You are correct and not every product pays exactly the same commission as the product mix to it, but they travel in a very narrow corridor and as we – the compliance infrastructure that you just talked about looks for and surveils for the kind of activity that might indicate that someone is not taking an objective approach to our client and we can identify that through suitability screens and all kinds of other ways. So the DOL rule could impact product providers such that they try to more levelized payments to broker/dealers at the source. That’s outside of our – that’s a product provider issue and we don’t have proprietary products. And so, we don’t even have that home team advantage that psychological or more suasion that some companies are dealing with. So I think it’s not perfect, but it’s pretty darn close right now on that front of fair commissions.
Mark Hughes: Okay. Do you think it’s going to pose a problem then for Primerica if your reps or for you as a management team have gone the route of I guess that the enhanced fiduciary standard and contract as opposed to going to the lease expense or the lower fee products?
Glenn Williams: Well – and I think Alan that’s – the question that we’re wrestling with on buys of the best interest contract exemptions, that’s where the detail of executing the rule is found and that’s where the comments as for the evaluation is going on right now in the comments, I believe to a great extent will be made during this comment period that ends currently on July 6. Although I understand that members of congress actually petitioned secretary risks for more time this week, but that’s the devil that’s in the details, because if you’re operating under that best interest contract exemption, there is specific dos and don’ts and specific things that have to be executed and that’s what we’re working through to determine did what they wrote in the rule, match what they said in their description of what the rules intended to do. And we do believe there is some disconnects, that’s why we said that we believe modifications to the proposed rule are necessary. That said, there are some things in the rule that encourages and that provide some flexibility and then there are some things in the rule that there’s something in the rule of executing and they make it very difficult and if we did find their sales having to live under that exemption ultimately, with some changes that we’ll comment on, we believe that makes it the process less impactful negatively to our business.
Alison Rand: Okay. I think the more clarification you can put out on that as this thing unfolds is clearly going to be vital and if you look at like $10 of actual stock in the last month, I think it’s pretty clear. Okay. One other question I asked you we’ll jump off the deal I’ll think for a moment, when I’m looking at your sales for this quarter of last year, both in life and then for funds and annuities, could you put some light on what percentage of those are made to your own recruits versus what percentage made to your clients?
Mark Hughes: Yeah, the internal consumption number is the way we define it, of life insurance sales is around 20% to those who are currently members of our sales force or that are in the process of becoming members of our sales force. And it’s a little less than that on the security side between 15% to 17% in that range. So it’s a fairly – it’s an important number but it’s a fairly long number, considering some of the other discussions that happened in similar industry’s direct sales companies. So those are the numbers that we identified and shared.
Mark Hughes: Okay. That might be a helpful number if you consider putting it on the regular basis each quarter. Thanks.
Alison Rand: Okay.
Mark Hughes: Thank you
Alison Rand: Yes.
Operator: Okay. That concludes our question-and-answer session for today. I would now like to turn the conference back over to Kathryn Kieser for any closing remarks.
Glenn Williams: Okay. I’ll just take it Kathryn. Thank you for that opportunity, Robert. We appreciate the fact that the DOL rule in the recent dropping of the rule has created a tremendous amount of focus, and we understand the frustration that it causes when imperfect information is available. And in fact, us working through the process of reconciling what would say it versus what the details of the rule said is challenging and a frustration for us as well as the rest of the industry, but we’re working through that. And obviously, we believe that there is a solution. What I would like to point out in closing though is, in spite of that is you do have to go back as Colin mentioned and look at the results for the quarter. As I said, we’ve been through the most significant leadership change in the company in 15 years. And we put together a very positive quarter on the heels of a strong fourth quarter of last year. And so, I just want to make sure that among all the DOL discussions, they then get lost that we’ve got strong fundamentals of the business, and that the momentum continues to show growth and strength. And we’ve done that with what would normally be outside the DOL, a pretty significant number of distractions anyway. And so, we’re – we feel confident about the business model and the strength of it, and the integrity of it. And we just want an opportunity to make sure that there were some focus on that, as well as all discussion with the DOL rule. Thank you very much for your time today. And I’ll talk to you again soon.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.